Katsuya Nakanishi: This is Nakanishi, President and CEO. Thank you very much for taking time out of your busy schedule to attend our financial results briefing today. I would like to explain the progress of the first year of Midterm Corporate Strategy 2024, including an overview of the financial results for the fiscal year 2022 and our future initiatives. Please refer to the lower right hand side, Page 3 of the presentation materials. Consolidated net income for FY2022 was ¥1.1807 trillion, an increase of ¥243.2 billion from the previous year. As in previous years, we appropriately address potential losses through a review of asset valuations, but we still managed to significantly surpass the previous year’s record high earnings to reach the ¥1 trillion level for the very first time. Based on these results, we have comprehensively taken into account our financial soundness and cash flow situation amongst other factors. As for shareholders return, we have decided to conduct additional ¥200 billion and share buybacks on top of the ¥430 billion we announced in February. Next, I will explain our forecast for FY2023. Consolidated net income is expected to be ¥920 billion, continuing the high level seen in FY2022. In light of the solid profit level in other factors, we will raise the dividend by ¥20 from FY2022 to ¥200 per share. In addition, we decided to buy back up to the ceiling of ¥100 billion with a total payout ratio of approximately 40% in mind. The share buyback together was the additional ¥200 billion in total for FY2022 as explained earlier, will total up to ¥300 billion. And the buyback period will commence in May. The bottom right hand side of this page shows the progress made in FY2022 against the cash flow allocation plan for the current Midterm Corporate Strategy. Free cash flow after shareholder returns was ¥0.4 trillion, due to the favorable operating cash flows and aggressive asset replacement. Whilst maintaining financial discipline, we will actively allocate this free cash to invest in future growth and shareholder returns. As for the EX related investment, in addition to the ¥0.3 trillion executed in FY2022, we have already committed ¥0.5 trillion in FY2023 and the pipeline for new investment is steadily building up. We will continue to monitor the market environment and consider investments at the most appropriate timing. Please continue to look at Page 5 on the bottom right. In this section, I would like to explain our future efforts regarding the growth strategy, which are EX strategy, DX strategy and strategies for creating a new future as set forth in the Midterm Corporate Strategy 2024. Regarding the EX strategy, we have a long list of over 200 projects and have narrowed it down to around 100 high priority projects that we would like to execute during the current Midterm Corporate Strategy period. Some of these projects have already been executed, but we will be even more conscious of their implementation this year. In particular, from the perspective of low-carbon and decarbonization, we launched the Next-Generation Energy Business Group in April and we’ll accelerate our efforts and fuel ammonia and SAF. And the DX strategy, we are promoting DX as a way to improve the efficiency of our existing businesses, such as DX and food distribution and industrial materials and concrete results are already seen. We have also begun to expand the functions of Industry One, MC Digital, a core subsidiary responsible for promoting the DX strategy. In April this year, we established a new startup support program in collaboration with Kyoto University. We will continue to actively engage in initiatives that contribute to the creation of new industries and regional development by utilizing Japanese technology through industry academia collaboration. Please turn to Page 6 on the bottom right. Regarding EX related investments, there may be a perception that they are low profit and low return businesses. However, I would like to explain how we have worked on this business in the past and how we have successfully achieved profitability. In EX related businesses there are two profit models, the first is the develop to hold, develop to sell model, and the second is the upfront investment model. Whether it is the develop to hold or develop to sell model, stable earnings are secured by carefully selecting and investing in and holding quality projects. We participate in the project from the high risk development stage and minimize risk in this stage by leveraging our expertise. After commercial operation begins, the investment is recovered in the form of capital gains commensurate with the development risk. In the past, we have invested in renewable energy related projects in Europe and have achieved high returns on our investments commensurate with the development risk bone. And EX related projects, we will continue to optimize returns by appropriately combining stable income and capital gains while carefully monitoring the characteristics of the projects and the environment. The early stage investment model or the upfront investment model, which is in the lower part of the page, is where we begin participation in the project as a trading house, early trading is where the company actually started acquire business knowledge, secure access to investment opportunities, so that we can invest in more competitive and superior projects and generate higher profits as the market expands and matures in the future. In other words, we aim to watch the flow of business from the side, enter it, and then create the business itself eventually. EX related businesses include initiatives with long-time horizon, but we will work to ensure sufficient profitability through stable earnings and capital gains generated from investments with foresight, utilizing the business knowledge that we have cultivated to date. Please continue to Page 7 as indicated at the bottom right corner. Based on the progress of cash flow allocation in FY2022 explained earlier the distribution plan – allocation plan in MCS 2024 has been partially updated. First of all, outlook for cash flow from operating revenue based on strong performance in FY2022, we expect an increase of up ¥2.5 trillion between ¥3 billion and ¥3.5 trillion. Also on the recovery from divestment promotion of the cyclical growth model is progressing well and the possibility of exceeding ¥1.5 trillion is in sight. Next on shareholder returns. We see increased certainty of the cash flow after a successful first year of the Midterm Corporate Strategy. Taking also into consideration the market expectations, we have set the total payout ratio during the remainder of the midterm period after FY2022 at around 40%. As a result, we expect to return a total of more than ¥1.5 trillion to shareholders, including the payout in FY2022. At the same time, based on our solid ability to generate funds, we intend to aggressively allocate investments at every opportunity, not limiting ourselves to the ¥3 trillion set forth at the time of the strategy formulation. We will then provide information on the 2023 forecast. Consolidated net income is expected to decrease by ¥260.7 billion compared to FY2022. This is because of somewhat overheated market conditions in the economy in general, particularly in the resource prices and foreign exchange, we assume we will settle down in FY2023. On Page 9, we summarize the shareholder returns that I have described so fast for you to go over later. Finally, we will explain our efforts to becoming more cost of capital and stock price conscious management. Please see Page 10. One of the quantitative targets of MCS 2024 is achieving double digit ROE, and we believe that by maintaining that level over the mid to long-term, we’ll be able to exceed the cost of shareholders equity required by the market. To maintain stable doubled digit ROE, we will continue to steadily implement each of the measures in the Midterm Corporate Strategy, including the value added cyclical growth model. In addition, we will strive to enhance disclosure and dialogues with stakeholders. Regarding the progress of the quantitative targets, so please refer to Page 11 with summary. So in FY2022, we were able to increase profits in each of our businesses and by using funds gained there, enhance shareholder returns, while leaving room for investments for the future. We believe this as generally a strong start for the first year of the Midterm Corporate Strategy. We position FY2023 as the year of execution of the MCS by executing various growth strategies. Steadily and surely, it will further enhance our corporate value without being carried away by our strong performance. That is all from me.
Q - :